Operator: Good morning, everyone. Welcome to Medical Facilities Corporation's 2025 Second Quarter Earnings Call. [Operator Instructions] Before turning the call over to management, listeners are reminded that today's call may contain forward-looking statements within the meaning of the safe harbor provisions of Canadian provincial securities laws. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements. For additional information, please consult the MD&A for this quarter, the Risk Factors section of the annual information form and Medical Facilities' other filings with Canadian securities regulators. Medical Facilities does not undertake to update any forward-looking statements, except as required by applicable law. Such statements speak only as of the date made. I would now like to turn the meeting over to Mr. Jason Redman, President and CEO of Medical Facilities. Please go ahead, Mr. Redman.
Jason P. Redman: Thank you, operator, and good morning, everyone. On the call with me is our Chief Financial Officer, David Watson. This morning, we reported our second quarter results. Our news release, financial statements and MD&A are available on our website and have been filed on SEDAR+. As usual, please note that all dollar amounts that follow are in U.S. dollars, unless otherwise specified. During the second quarter, we continued our focus on improving operating performance and returning capital to shareholders. Unfortunately, our consolidated results were negatively impacted by the headwinds at Sioux Falls Specialty Hospital. The relocation of a primary physician group's clinic, which is the hospital's largest orthopedic referral base, impacted surgical case volume along with case and payer mix in the quarter. In particular, the case mix at the hospital reflected fewer complex surgical cases, partially offset by an increase in lower acuity cases. Although this affected both facility service revenue and income from operations for the quarter, we look forward to Sioux Falls return to more normalized operations in the back half of the year. In addition, I'm pleased to call out that Sioux Falls continues to be recognized as best-in-class. In May, Sioux Falls was one of just 66 hospitals across the United States and one of only two in South Dakota to receive both the 2025 Outstanding Patient Experience and Patient Safety Excellence Awards from Healthgrades. This was the third year in a row for Sioux Falls and is a testament to the exceptional care delivered by our dedicated partners, and we couldn't be prouder of this recognition. Elsewhere, our other hospitals made strong contributions in the quarter and year-to-date, delivering improved profitability on the back of higher volumes, favorable case and payer mix and payer rate increases. On the capital allocation side, we returned $6.9 million to shareholders through the repurchase of 609,100 common shares in the quarter under our normal course issuer bid. In the first 6 months of the year, including our normal course issuer bid and our substantial issuer bid, we repurchased approximately 4.2 million shares, returning $52.2 million to shareholders and reducing our outstanding shares by 18%. And lastly, subsequent to quarter end, we finalized a new 3-year $40 million credit agreement with CIBC on favorable terms. This agreement provides us with enhanced flexibility as it includes an option to increase the credit facility by up to $25 million, subject to certain conditions being met. With that, I would now like to turn the call over to David to review our financial results for the quarter. David?
David N. T. Watson: Thank you, Jason. Good morning, everyone. Please note that the income statement variances I will be discussing this morning are for continuing operations excluding Black Hills Surgical Hospital, which was treated as discontinued operations in the financial results for the 3 and 6 months ended June 30, 2024. Facility service revenue for the quarter was down 1.3% to $80.6 million, with the decrease being attributable to the headwinds at Sioux Falls, as Jason already discussed. Excluding Sioux Falls, Facility service revenue increased 6.5% as our other hospitals contributed higher volumes and benefited from negotiated payer rate increases and favorable case and payer mix. Surgical case volumes were down 0.9%. However, when you exclude Sioux Falls, they were up marginally at 0.1%. Overall, inpatient cases were down 8.6% and observation cases decreased by 1.8%, while outpatient cases increased by 0.7%. Pain management cases were down 4.5% compared to the same period last year, mainly due to a decline at Arkansas Surgical Hospital following the departure of a pain doctor in Q4 2024. However, the recruiting process at ASH remains strong with a new pain doctor beginning this month in addition to a new spine surgeon joining a referral group's practice in September 2025. Total operating expenses were down $0.5 million as higher consolidated salaries and benefits were more than offset by reductions to drugs and supplies and G&A expenses. Consolidated salaries and benefits were up 3.9%, mainly due to annual merit increases, market wage pressures and higher benefit costs from increased health plan utilization. This increase was partially offset by a corresponding reduction in salaried physicians with one of the formerly employed physicians opting to become a full owner. Drugs and supplies were down 2.4%, reflecting the lower surgical case volume and lower acuity procedures in the quarter as well as improved cost savings at certain facilities. Finally, G&A expenses were down 3.4%, mainly due to lower corporate level costs related to share-based compensation plans as well as lower contracted service costs. These decreases were partially offset by higher professional fees and various other facility-related expenses. Looking at our profitability for the quarter, income from operations was down 5% to just shy of $12 million. However, when excluding Sioux Falls, income from operations was up 98.9%. EBITDA for the quarter was $16 million, which was down 4.7% from the prior year period. Turning to our balance sheet. At quarter end, consolidated net working capital stood at $36.6 million with cash and cash equivalents totaling $49 million. This compares to net working capital of $76.4 million and cash and cash equivalents of $108.5 million at the end of 2024. The decline in consolidated net working capital was primarily driven by the completion of a substantial issuer bid in March, which reduced cash and cash equivalents by $43.7 million. Other significant drivers were the $14.4 million tax payment in April related to the gain on the sale of Black Hills Surgical Hospital and repurchasing $9 million worth of shares under our normal course issuer bid. We continue to have no corporate level bank debt after retiring the balance on our corporate credit facility near the end of last year. As Jason highlighted, on August 6, we executed a new credit agreement with Canadian Imperial Bank of Commerce for a $40 million revolving credit facility that matures on August 4, 2028. The agreement includes an option to increase the facility by up to $25 million contingent upon meeting specified conditions. The agreement supersedes our previous $50 million credit agreement with National Bank. The facility is secured through general security agreements, securities pledge agreements and guarantees issued by MFC and each of its wholly owned subsidiaries. This concludes our prepared remarks. We would now like to open up the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from Sahil Dhingra of RBC.
Sahil Dhingra: This is Sahil for Doug. My first question is on the impact at Sioux Falls. Can you quantify how much the impact was?
David N. T. Watson: Sahil, thanks for the question. If you look at the impact just on the revenue overall, it was certainly down about $3.9 million for the quarter. It's really driven by the combination in the case and payer mix, predominantly driven by a decrease in the higher acuity cases.
Sahil Dhingra: Okay. And do you anticipate some impact in Q3 as well before fully normalizing?
Jason P. Redman: So -- no, I think at this point in time, we think that the relocation impact is behind us. Most of that was felt in the early part of the quarter. Obviously, when you transfer a clinic that's been in operation for over 20 years since a new facility and impacting almost -- or in excess of 20 physicians, had a significant impact in the quarter, but that impact is primarily behind us now.
Sahil Dhingra: Okay. Okay. That is helpful. And then in terms of this new credit facility, can you elaborate a bit more on like do you repaid the previous credit facility? Why are we -- why -- what is the need for the new credit facility is what I'm trying to ask?
David N. T. Watson: Yes. So the current credit facility was expiring at the end of this month. So we needed to either renew or replace that credit facility. So it's really just making sure that we've got adequate access to capital with a continuing line.
Sahil Dhingra: Okay. Okay. Great. And then I have a few more. I'll lump them together. One is if you can provide us an update on the competition? And the second one I have is on the -- any risks that you're monitoring as it relates to reimbursement under the current administration? And I'll leave it there.
Jason P. Redman: Yes. So let me -- so in competition, is there any specific market [ that you're ] referring to?
Sahil Dhingra: Yes. Arkansas, I was wondering more about that.
Jason P. Redman: Yes. So in Arkansas, nothing -- no impact that we're seeing right now. That's always been a very competitive market. We've had discussion before. We monitor that closely with the [ St. Baptist and St. Vincent, ] and we haven't seen any significant impact on operations. And you'll see the performance of ASH continues to improve, and as improvement over time, we continue to recruit doctors, as David mentioned. So we haven't seen any impact so far.
Sahil Dhingra: Okay. Great. And then any update on reimbursement, that any risk that you're currently monitoring?
David N. T. Watson: Yes. So I'm assuming your question is with respect to impacts on Medicaid. And first off, I guess, I'd say that the Medicaid ramifications have been pushed out to the end of '27 or perhaps early '28, will be the earliest that those would actually take effect. And with respect to the impact on our business, Medicaid really represents an immaterial portion of our business. That said, we'll continue to monitor the situation closely and see how that evolves.
Sahil Dhingra: And there is no update on that site neutrality legislation, correct?
David N. T. Watson: No, that's correct. It's a topic that's been floated for a number of years, but we really haven't seen significant movement yet.
Operator: [Operator Instructions] There are no further questions at this time. I would hand over the call to Jason Redman for closing remarks.
Jason P. Redman: Thank you, operator, and thank you to everyone joining us this morning. We appreciate your continued support and look forward to updating you on our progress throughout the balance of the year. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and you may now disconnect.